Operator: Ladies and gentlemen, thank you for standing by and welcome to the EchoStar Earnings Conference Call for the Fourth Quarter and Year-End 2020. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Terry Brown. Thank you. Please go ahead, sir.
Terry Brown: Thank you. Good morning everybody and welcome to our earnings call for the fourth quarter of 2020. I'm joined today by Mike Dugan, our CEO; Dave Rayner, COO and CFO; Pradman Kaul, President of Hughes; Anders Johnson, Chief Strategy Officer and President of EchoStar Satellite Services; and Dean Manson, General Counsel and Secretary. As usual we invite media to participate in a listen-only mode on the call and ask that you not identify participants or their firms in your report. We also do not allow audio recording which we ask that you respect. Let me now turn this over to Dean for the safe harbor disclosure.
Dean Manson: Thank you, Terry. All statements we make during this call other than statements of historical fact, constitute forward-looking statements that involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by the forward-looking statements. For a list of those factors and risks, please refer to our annual report on Form 10-K filed today with the SEC. All cautionary statements we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. Mike over to you.
Mike Dugan: Thank you, Dean and thanks to all of you that decided to join us today for our Q4 2020 earnings call. By all accounts 2020 brought a share of challenges, but the EchoStar team rose to the occasion and once again delivered solid financial results. I'm very pleased with our 2020 performance as evidenced by growth over 2019 in both revenue and adjusted EBITDA. As we enter the second year of the global pandemic, we continue to supply the connectivity on which millions of consumers, enterprise, government agencies and communities depend. I'm also proud of the EchoStar team's efforts and operational accomplishments in delivering services that have never been more vital to our customers. Let me now turn it over to the management team to expand on their business segments before closing with some final comments and then the question-and-answer period. Pradman?
Pradman Kaul: Thank you, Mike. I'd like to echo Mike's comments and say that I'm extremely proud of our performance and our financial results. Hughes 2020 revenue was our highest on record. Our adjusted EBITDA grew 7% in the fourth quarter and 8% for the full year compared to the same period last year. Our 2020 adjusted EBITDA margin was 38.9% increasing from 36% in 2019. We grew our Hughes net subscriber base by approximately 87,000 during this year and were recently recognized by US News & World Report 360 Reviews as the Best Satellite Internet Provider of 2021. This is welcome validation of our dedication to connecting the unconnected to a high-performance Internet service. We ended 2020 with 1564,000 subscribers. In the fourth quarter, our subscriber base in the US declined by approximately 27,000. As you know our US consumer offering is currently capacity constrained. As a result, we continue to manage our sales and marketing efforts to optimize service to our existing subs. We also continue to innovate to enhance the customer experience applying advanced technologies such as artificial intelligence across our network. Driven by the ongoing strong demand for broadband services and our focus on offering ancillary services that enhance our customers' experience, our US ARPU has steadily increased. We expect these trends to continue in the near-term. In Latin America in Q4, we grew our subscriber base by approximately 11,000 and improved ARPU over the previous quarter. Our sales slowed in this market relative to the third quarter as COVID-19 pandemic restrictions eased and many people returned to schools and offices on a regular basis. We saw an increase in churn which we believe was partially due to changes we made in our collections process impacting net sub additions. Community WiFi services which we offer in partnership with Facebook Connectivity continued to be an important offering for us in Latin America. We now have more than 1500 of these Hughes-expressed WiFi hotspots deployed and are focused on improving monthly ARPUs with targeted marketing activities. We expect to see ongoing growth in these consumer markets in 2021. For our North American enterprise business, the team continued to drive an increase in orders relative to the first half of 2020. We closed upgrades and extensions with several large accounts and saw a significant increase in our field deployment activity. With the increase in activity through Q3 and Q4, we completed more enterprise deployments in 2020 than in 2019. Once more the enterprise group received significant recognition in industry analyst reports during the quarter with both Frost & Sullivan and Gartner, publishing research that highlighted the team's capabilities in the managed services market. We continue to invest in expanding our market leading capabilities and in innovation across our managed services portfolio. Investments in artificial intelligence have allowed us to automate identification and resolution of network problems. These capabilities are being leveraged across our North American and international enterprise customers, as well as our internal consumer operations. In the international enterprise business, we see projects resuming a new opportunities developing. One of the world's preeminent financial companies has extended its service agreement with us to provide managed services to their locations across the Americas, Asia, Africa and the Middle East. In India, we received an order to implement more than 4,000 ATMs in support of the State Bank of India. The new order brings our total to more than 50,000 ATMs being serviced in India. Also there, we received expansion orders from Reliance Jio to provide 4G backhaul services in seven states and to add more than 600 VSATs as part of the BharatNet program to connect villages across the country. In the Asia Pacific region, we won a project with a large maritime service provider to deliver a Jupiter system and an initial order of 500 modems. In Africa, in support of one of the region's largest national governments, we've been awarded a contract by a service provider to deliver Jupiter system supporting land mobility for government vehicles. And we continue to work on closing our joint venture agreement with Bharti Airtel in India. This -- as previously noted this is subject to regulatory approvals. For our defense business, 2020 was an outstanding year in terms of sales, culminating in the fourth quarter with follow-on orders from major prime contractors and classified customers. Our government enterprise group was chosen as an approved provider by the Georgia Technology Authority under its GTA Direct program that makes it easy for eligible agencies to procure essential broadband connectivity from Hughes. The team also continues to rollout networks for four state agencies across approximately 500 locations in Pennsylvania. We look forward to continued momentum in these business segments in 2021. Our Jupiter 3 satellite continues to progress at Maxar. In December 2020, we contracted for the launch of this satellite. We have received an updated schedule for Maxar and we now expect to launch in the second half of 2022. This delay is due in part to the COVID-19 restrictions that every company is facing and in part to production issues with certain components. We are working diligently with Maxar to both mitigate these issues and identify ways to recover the schedule without risk to the satellite. In addition, our launch vehicle should limit the amount of time related to satellite arbitrating, which will assist our in-service schedule. Although, we are disappointed with this delay, we remain excited about Jupiter 3 as that will bring significant additional capacity to our markets as well as the ability to offer higher speed service plans to our customers. In addition, we have started exploring potential architectures for the next-generation Jupiter satellites. We've expanded our role with OneWeb, the LEO broadband satellite company with a contract to develop and manufacture essential ground system technology for the new LEO constellation. In a three-year agreement valued at approximately $250 million, Hughes will produce the gateway electronics and the core module that will be used in every user terminal. Designed by Hughes, this core module is uniquely adaptable across fixed, as well as aeronautical and maritime mobility terminals for either electronically or mechanically steered antennas. OneWeb resumed deployment of its broadband satellite constellation with the December 18 launch of 36 satellites, the first since the company emerged from Chapter 11 bankruptcy. Hughes operates in an evolving industry and a changing market as we have for 50 years. We've learned a lot along the way. For example, we know that for the Hughes net customer, the top priorities are speed bandwidth and price. We also note that the great majority of traffic on the Internet is video, which is insensitive to latency yet requires a significant amount of capacity. That's why geostationary satellites are ideal for the rural consumer and business markets that we serve, delivering superior economics and large volumes of capacity right where we need it. And make no mistake due to the size of our addressable consumer market and the cost of other technologies in servicing, low household density areas we have a substantial opportunity for our HughesNet service. With the launch of Jupiter 3 and 100 megabit service plans, we expect to maintain our market-leading position in rural underserved markets. The demand is there and it's growing. The satellite broadband connectivity market is large enough to support different service providers with multiple technologies. Even with new constellations and planned launches, there will not be enough capacity in the foreseeable future to meet the demand in our primary markets let alone the rest of the world. In addition to our thriving consumer business, we possess a diversified enterprise organization and partners in our industry continue to rely on our engineering expertise to propel their businesses. Across all of these markets, our multi-transport innovations will bring the best available technology to meet our customers' needs. We have continued to progress and innovate as the market changes and thrive like we always have. All in all, it was a very strong quarter and year, and I look forward to another productive year as we celebrate a half century of satellite leadership in 2021. Let me now hand it over to Anders.
Anders Johnson: Thanks, Pradman. Good morning. In Q4, ESS revenue was $4 million, down slightly from Q4 of last year. We continue to pursue opportunities to lease our excess Ku-band capacity. The overall FSS market continues to be soft and declines in demand for IFC capacity, has obviously impacted the current environment. We are staying focused on these markets and we are ready to react when the rebound occurs. We mentioned last quarter that the first pair of NGSO S-band satellites for our EchoStar global subsidiary were in the commissioning phase. Unfortunately, both satellites have experienced technical anomalies that preclude them from fulfilling their intended regulatory milestone missions. Although, I would like to note that our AG1 satellite is still operational and we are using it for testing. We intend to seek regulatory milestone relief due to the force majeure events. And despite this setback, business development activities continue, and we've been pleased with the interest the EchoStar Global mission is received from a range of vertical players. Our third nanosat is expected to launch in either Q2 or Q3 of this year and we are evaluating options for additional spacecraft. With respect to developments in Europe, EchoStar Mobile has successfully launched its new synergy service a hybrid offering that seamlessly integrates satellite and terrestrial LTE roaming services in a single small low-cost mobile terminal, using a single subscription and management portal. We continue to see strong interest from our distribution partners in all of EchoStar Mobile's new products and services, and we are excited to see many of the new opportunities for application of MSS technologies to a variety of emerging verticals, including autonomous platforms and 5G integration. Additionally, we have launched several initiatives to deploy new hybrid satellite and terrestrial technologies and services on our E XXI platform. On the satellite IoT front, we are working with ProEsys and others to develop and deploy the first real-time bidirectional satellite delivered LoRaWan services, which will leverage next-generation technology that fully integrates satellite and terrestrial services on a single chip. We expect the initial operations of the LoRaWan service to begin in the second half of this year. We are also working with Sequans and others to develop hybrid services leveraging our complementary ground component licenses in Europe. These new services will focus on industrial enterprise applications such as utilities, transportation logistics and maritime as well as emerging verticals, such as unmanned aerial systems and urban air mobility. Finally as always, we remain focused on our longer-term strategic goal of full integration of S-band satellite services into the emerging global 5G network. I'll now turn it over to Dave.
Dave Rayner: Thank you, Anders. My comments this morning will be primarily on Q4 results and include comments on adjusted EBITDA, which is reconciled to GAAP measurements in our press release. Consolidated revenue in the fourth quarter was $489 million, down $10 million compared to the same period last year. Hughes revenue was $482 million, down $9 million compared to fourth quarter last year. Higher consumer revenue from increased ARPU and growth in Latin American subscribers were offset by lower equipment sales to enterprise customers primarily due to the impact of the OneWeb bankruptcy in Q1 2020. In addition, we experienced negative foreign exchange impacts of approximately $10 million, principally related to revenue in Brazil. ESS revenue in Q4 was $4 million down slightly as compared to the same period last year and corporate and other revenues $3 million also down slightly compared to last year. Consolidated adjusted EBITDA in the fourth quarter was $167 million, an increase of 7% from last year. Hughes adjusted EBITDA in Q4 was $188 million higher by $12 million. Hughes adjusted EBITDA margin increased by 3.2 percentage points largely as a result of growth in the higher margin of consumer broadband business. ESS and corporate and other were primarily flat as compared to last year. Net loss from continuing operations was $3 million in Q4, an improvement of $54 million from last year. This change was primarily due to higher operating income of $7 million, lower net interest expense of $47 million driven primarily by $50 million of interest expense accrued in the fourth quarter of 2019 related to our fee dispute with the Government of India, improvement in foreign currency transactions of $6 million and higher gains on investments of $6 million. This was partially offset by higher income tax provision of $10 million. Capital expenditures in the quarter were $114 million compared to $104 million in Q4 last year. The increase was primarily due to spend associated with our J3 ground infrastructure as we start to prepare the service launch. Free cash flow defined as adjusted EBITDA minus CapEx was $53 million during the quarter. In 2021 we are targeting both revenue and adjusted EBITDA growth. We plan to manage our U.S. consumer activity to maximize profitability and expect continued growth in our LatAm consumer markets. We foresee meaningful recovery in our enterprise equipment sales and services. With the lingering impact from the pandemic in this segment of the business we believe second half of 2021 will be stronger than the first especially internationally. The new agreement with OneWeb should provide incremental growth. We will continue to prudently manage all expenses including those associated with the Jupiter three launch readiness. In December 2020, we bought back 1.7 million shares of our stock in the open market at a cost of $38 million. Through February 11, 2021 we had repurchased an additional 2.9 million shares for a cost of approximately $65 million. Our cash and marketable security balance at 12/31 was $2.5 billion and our seven 5/8% senior unsecured notes of $900 million are due in June and our intent at this time is to repay them out of current cash. With that I'll turn it back over to Mike.
Mike Dugan: Thank you, Dave. As you can all see, we've had a successful year and I remain extremely excited about our position within the satellite communications industry. Demand for global connectivity continues to outpace supply and we remain well positioned from a technology and financial standpoint. Let me now turn it over to the operator to start the question-and-answer session.
Operator: [Operator Instructions] Your first question comes from the line of Rick Prentiss from Raymond James.
Rick Prentiss: Thanks, good morning guys.
Mike Dugan: Good morning, Rick.
Rick Prentiss: First I know I'm glad I think the market is also to see you put your balance sheet to work on stock buybacks. It looks like maybe close to $400 million left on the authorized plan compared to your $2 billion market cap. I just want to confirm that that's right. And we think the best M&A opportunity is to buy your own stock where it's at. But what other M&A opportunities might be out there that you'd be interested in and might want?
Dave Rayner: Well as you know Rick I mean we've been looking at a lot of different opportunities over a period of several years. And I think we remain interested in transactions that make sense where it grows our customer base grows our technology base and provides for incremental growth. That's where we remain focused.
Rick Prentiss: Okay. And on the buyback it's about $390 million maybe left that ballpark?
Dave Rayner: Yes. I'm sorry you had the numbers right. That's approximately correct as of the filing.
Rick Prentiss: Okay. And then obviously the Jupiter three has been delayed a little bit with Maxar. Are there any abilities to recover costs from them with the delay? And also as you think about growth pre-Jupiter three launch can you -- should we think of this quarter sub decline as kind of more similar to what you might experience until the launch? And obviously ARPU increases can help offset that but just trying to think through the delay and the impact?
Mike Dugan: Well we're working all the options as far as the contract with Maxar. And I don't think I'm going to say anything more about that. We still need the spacecraft and we're very disappointed in the delays. It's that simple. The issue with the US sub count is that with the continued growing demand of each consumer in the Jupiter 2 and Jupiter 1 field, we try to manage the number of customers we can support along with the capacity constraints. We try to make sure the capacity is what our customers need. And therefore at times we do in certain beams, allow the sub count to go down to ensure that we've got solid support of the plans that people are buying. So I can't totally predict it, as people -- more and more people hopefully return to office and the work-from-home demand goes down, I would think that will have a positive impact on our ability to add subs, but I can't say for sure. I don't know what things are going to look like for the next six months. So yeah, I don't expect major changes either up or down, as we manage through customer requirements in turn.
Rick Prentiss: And as we think of the Jupiter 3 getting in service Pradman, I think you mentioned that the launch vehicle choice would reduce the time from launch to in-service. Can you give us an idea of how fast that might be? And I know people are very interested in knowing how much capacity will the Jupiter 3 bring on? And what that might do for growth as we look beyond the launch in-service dates?
Mike Dugan: Well I think we've talked capacity in the past and I don't see any reason to keep going over that. Nothing's changed as far as the spacecraft as it's gone through the design. The deliver capacity is expected to be pretty close to spec. As to the launch vehicle, the time through in-orbit testing and getting into service, I got to be honest with you we're working it every day. And that is one area with the delay in the production of the satellite that there's a possibility of gaining back some in-service time. However, the opposite of that is we do not want to take -- we do not want to rush through in-orbit testing in a way that might have a negative impact on the spacecraft or our ability to meet spec as we get going. So it's a very precise activity we got to be careful of, but we're going to shave off every possible day from the time we launch till the time we're in service. But again, that's a work in progress.
Rick Prentiss: Okay. Last one for me. Another work in progress has been the JV in India. A lot of business happening in India. Can you help us understand what you think of reasonable time frame is that that deal might close as it continues to wait approval?
Pradman Kaul: Yeah. We're aiming for somewhere in the middle of the year.
Rick Prentiss: So mid 2022?
Pradman Kaul: Yeah. It's being held -- we have to get through a bunch of.
Mike Dugan: No, no. Mid -- yes. Mid 2021.
Rick Prentiss: Sorry. Mid 2021. I misspoke.
Pradman Kaul: Mid of 2021. Sorry. Yes. We're actually working through some regulatory approvals. Everything is all set. As soon as we get the last couple of regulatory approvals, we should be ready to close the deal.
Rick Prentiss: And then hit the ground running pretty fast?
Pradman Kaul: Yes. Yes.
Rick Prentiss: Great. Thanks guys. Stay well.
Mike Dugan: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Chris Quilty from Quilty Analytics. Your line is open.
Chris Quilty: Thank you. Pradman I wanted to follow up on the consumer ARPU which you indicated was up both in the US and international. In the US market, is the increasing ARPU more a function of existing customers stepping up their plans, or is it simply a mix issue of some lower-value subscribers dropping off?
Pradman Kaul: Well it definitely is the existing customers stepping up. As this COVID crisis has been obviously spreading all over and increasing the demand for the services so people are stepping up going up to higher plans et cetera which has good effect on the ARPU, but obviously has an impact on the number of subs you can accommodate over these satellites. So that's one part of it. The other part of it is we're selling some additional ancillary services which adds to the ARPU. For example, repair services, people don't want their unit down and are willing to pay extra money to have quick repair services and we sell tokens for extra capacity. So there's a whole bunch of little things that add $1 or $2 to our ARPU for these subscribers which is very good money because the costs against that are very little.
Chris Quilty: Understand. And as you think about more people returning back to work obviously this COVID period caused very different demand patterns than what you've seen in the past with respect to the time of day. And as people go back to work and perhaps they stepped up their plan because they were using a lot more capacity if you see a shift back to normal patterns where people are more heavily using the service say after 5:00 p.m. do you still have the right amount of capacity in the way that you've metered it out, so that you can -- you won't be forced to drop people from the plan?
Pradman Kaul: Yes. It's one of those things that's evolving all the time and it's very difficult as Mike mentioned earlier to predict exactly what will happen, when in terms of the demand. So, we are constantly adjusting the plans and adjusting the allocation of bits to the different plans and to the different subs to try to maintain a balance between customer satisfaction and capacity, the number of subs that we -- and this is a process that's going on every day as we evolve. And we just have to see what -- how this come back to normal develops. And it probably won't develop the way we think it will like everything else about COVID that has been there, but it's something we try to optimize continuously.
Chris Quilty: Understand. Shifting to the enterprise market and if we can set aside OneWeb and as a standalone and then look at the balance of the enterprise business, it appears that for the past couple of years, the enterprise revenues and installations have been struggling. As we come out of COVID, do you see any prospects for the enterprise business, putting up a year of growth, again excluding the OneWeb business?
Pradman Kaul: Yes. The answer is yes. And we have been reasonably, pleasantly surprised and excited about what's happening in that market. We're suddenly seeing major corporations wanting to either expand the breadth of the services we offer today, our brand-new customers, our brand-old customers and brand news requirements. And if you look at the enterprise business for us, you've got the United States and you've got the rest of the world. The United States is primarily with the Fortune 1,000 companies, using -- for the access technology using primarily terrestrial technologies. Internationally, like we mentioned about India and Brazil and many of the other countries in Far East, it's primarily satellite-driven still. And our dominance in our VSAT technology gives us a very, very high market share in those areas. And both internationally and domestically, we expect 2021 to be a good year.
Chris Quilty: Great. And back to OneWeb, can you give us any sense of how much of that $250 million you had burned through prior to the chapter 11 bankruptcy? And how do you see that rollout progressing for the balance over 2021?
Pradman Kaul: This is a brand-new $250 million after bankruptcy. When they went bankrupt, we had to terminate the old contract and we got paid for all the work we had done at that time. And so we started off after bankruptcy from zero and this is a brand-new $250 million from that time for the next three years.
Chris Quilty: And will it be equally distributed over the next three years, or is it upfront loaded?
Pradman Kaul: Well, I think the first two years will take most of it and then there'll be probably six months' worth of stuff left in the third year. And then it goes fairly linearly because we ship gateways to 42 sites all over the world almost on an equal timing basis.
Chris Quilty: Got it. And one question for Anders on the failed small sats. Have you been able to trace back the cause of those failures to payload design issues or were these simply bus-related issues?
Anders Johnson: They weren't payload related at all. The -- we had an issue relating to the propulsion system, which -- because of the orbit that our filing specifies and where sort of ride share and standard launch vehicle leave you off in the SSO orbits, we have to change our altitude and our inclination. And in both instances, the propulsion system onboard the spacecraft malfunctioned.
Chris Quilty: And you indicated that you will look for a force majeure in order to replace those satellites and continue testing. And were you able to get any testing done with the satellites prior to their failure?
Anders Johnson: Well only one failed completely. The other one we're still in communications with and are running tests across it right now. So -- but the third satellite, which is due to go up on a ride share mission right now in June, it's of a completely different design from both the bus, the propulsion system, but it does have the same radio payload. So the payloads on the first two satellites were operational and were working fine.
Chris Quilty: Understand. All right. Thanks very much.
Pradman Kaul: Thanks, Chris.
Operator: [Operator Instructions] Your next question comes from the line of Ric Prentiss from Raymond James. Your line is open.
Ric Prentiss: Hey, guys. Thanks for taking a couple of follow-up questions. I want to follow Chris' line there on OneWeb. I think there had also been some discussion that maybe you could be a distribution or services or some other kind of partner besides just the equipment. Can you elaborate if there's other potential for working with OneWeb what it might entail?
Pradman Kaul: Yes, absolutely. We are a service provider all over the world. And in the different service offerings that we have we expect to be leasing depending on the market requirements some capacity from OneWeb and bundling it into the other services we offer to our existing customers and new customers.
Ric Prentiss: And when can that start given the OneWeb timing for their constellations to go up?
Pradman Kaul: Well their constellations -- as soon as their constellations are up and tested we'll start. We've got customers today who love to have us not only offer the GEO services we normally offer, but to offer LEO services and combined LEO/GEO services. So we -- as we've said in the past we think a LEO/GEO combination is a great way to address the markets that our customers are in because they have strengths for different applications. So as soon as they're ready we'll be ready to lease capacity, especially, in the markets where we have service companies like India, Brazil, Europe, Africa, Middle East.
Ric Prentiss: And obviously, Bharti is one of the ones that helped bring OneWeb out of bankruptcy as well as the UK government. What time frame do you think that constellation will be ready to help you do bundling in India say for instance?
Pradman Kaul: I think approximately two years from now.
Ric Prentiss: And other topic, I want to make sure obviously, we're finally out of the quiet period from the RDOF auction. You guys didn't get much there. ViaSat didn't get any, but SpaceX did get a lot. Can you just share with us kind of your thoughts on what happened in the RDOF auction and how that impacts the future dynamics?
Pradman Kaul: Well, I think, SpaceX got what about $80 million a year for 10 years. And in the scheme of things it sounds like a big number, but it's not really that big, right? If you look at the number of subs that it will help them subsidize, I think, the number of different calculations comes to like 40,000 subs a year somewhere in that region. So we have 1.5 million subs up already. So 40,000 a year -- I wish we had it, but it's not an overwhelming number either in the scheme. They've got to be looking for like one million subs or something like that. So 40,000 a year isn't going to be that big a deal.
Ric Prentiss: Okay.
Pradman Kaul: I think they got a favorable ruling from the FCC, which impacted our -- we didn't think the FCC was going to give that kind of a favorable ruling but they did. And that's probably where we maybe didn't do as well as we could have.
Ric Prentiss: Okay. And then one for Dave. You had mentioned I think the 10-K mentions, a limited number of enterprise customers are filing bankruptcy. Can you help us understand kind of sizing that risk and what might be and how you've kind of already positioned the bad debt reserve?
Dave Rayner: Yes. I mean, we're fully reserved on that and that was really earlier in the year in the midst of COVID. I mean you obviously have OneWeb. You've obviously got Global Eagle. It was a customer. So there's a number of retail customers. We're working with those customers going through the bankruptcy process and fully reserved. And hopefully we end up being over-reserved that we get some proceeds out of the final conclusion. But we're pretty comfortable in all the positions on the companies that have filed bankruptcy. It slowed some growth that impacted revenue recognition for a while and certainly some of those customers downsized their orders from us. But I don't know that we've lost one entirely among those various customers that filed.
Ric Prentiss: And also the India AGR ruling got resolved. How was that reserve? And how is that going to play forward over the next 10 years?
Dave Rayner: Good question. There's still a lot of rulings to come down from the India DoT and Supreme Court. We believe that we are fully reserved for it and hopeful. I can't say optimistic, but hopeful that we get some rulings in our favor that indicate that we're over-reserved. But right now we're under-reserved. And if we've got to pay it out under the most current rulings you got to be paid out over 10 years.
Ric Prentiss: Okay. Thanks for the follow-up guys.
Operator: There are no further questions. I'll now turn the call back to Terry Brown for closing remarks.
Terry Brown: Okay. Thank you everybody for joining today and we look forward to talking to you next time.
Operator: That concludes today's conference call. Thank you everyone for joining. You may now disconnect.